Unknown Executive: Now let's begin the meeting of the Financial Results for Fiscal Year 2014, year ended March 31, 2015. The speakers today are Toyoaki Nakamura, Executive Vice President and Executive Officer, CFO; Mitsuyoshi Toyoshima, General Manager of Finance, Internal Strategy Division; and Ken Mizoguchi, Executive General Manager of Corporate Brand and Communications Division.
 Now I would like you to refer to the PowerPoint presentation for my presentation. I would like to start at Page 5. Now as Mr. Higashihara has already mentioned, the Thermal Power System was integrated and what -- was not -- has transferred to MHPS but continued to be maintained by Hitachi were 16 units. These projects are now running its course. And in terms of U.S. GAAP, according to ASC 205-20 and IFRS 5 according to these rules, we can classify these as non-continuing business. And we have given you the forecast at the third quarter, but now we have made the detail for you to make the comparison on an apples-to-apples basis on Page 5. Please look at revenues. It came in at JPY 9,761.9 billion. Operating income was JPY 600.4 billion. EBITDA was JPY 551 billion; and now in terms of income from continuing business, JPY 415.5 billion; loss from discontinued operations, minus JPY 52.7 billion. Bottom line was JPY 241.3 billion.
 In terms of the highlights, please refer to Page 4. The narrative explanation is given here. In terms of revenues, as I mentioned earlier, it was JPY 9,761.9 billion, up 2%. Now Social Infrastructure & Industrial System, High Functional Materials & Components and Information & Telecommunication System was higher; and in terms of operating income, JPY 600.4 billion. The Social Infrastructure & Industrial System, high functional systems, components and Electronic Systems & Equipment and Information & Telecommunication Systems, 8 divisions have achieved higher results, and the highest-ever results have been achieved as well. Now in fact, we wanted to do more. It was down JPY 2.7 billion compared to previous forecast. We wanted do more, in fact, but it ended here; EBIT of JPY 551.0 billion. Now the Thermal Power System business integration evaluation loss -- that was first of last year, went away, and therefore, it was down by JPY 34.6 billion year-on-year. Now in terms of the business structure measures implemented for the relevant divisions, as a result, it was down JPY 41.5 billion compared to the previous forecast. In terms of the loss from discontinued operations, as I mentioned earlier, minus JPY 52.7 billion, down JPY 47.2 billion. As a result, our bottom line was JPY 241.3 billion, which is down by JPY 23.6 billion year-on-year, down JPY 8.6 billion compared to the previous forecast; in terms of shareholders' equity ratio, 27.3% for Manufacturing, Services and Others. And core free cash flows was JPY 137.2 billion, which is up JPY 114.7 billion year-on-year. M&A and other cash flow was also JPY 132.7 billion in terms of free cash flows.
 And now let me go to the waterfall chart. Now from the left-hand side, we saw [ph] Hitachi Maxell impact of the business reorganization was JPY 21 billion. In terms of lower sales price, JPY 100 billion, and that should bring that down with the cost reduction. And that is the benefit of the Hitachi Smart Transformation Project, the JPY 100 billion. The investment business development of JPY 30 billion was made for growth. We had increase in labor cost and depreciation and -- JPY 75 billion. And there was also improvement in large projects inclusive of the M&A impact. The business expansion, JPY 90 billion, was achieved. Exchange gain was JPY 30 billion. The improvement in large projects of JPY 16 billion has been achieved. And in terms of Power Systems as well as Construction Machinery and -- has declined by JPY 800 million. So the result was JPY 600.4 billion, or plus JPY 62.1 billion year-over-year.
 Page 9, let's look at the breakdown by market. For Japan, JPY 5,172.4 billion, 2% down. This is because of business reorganization, 2 division. If that is excluded, that would be 100%. Outside Japan is JPY 4,589.5 billion, 108%, in Asia as well as North America. And Europe has seen -- have seen increase. Total is 102%. In the overseas market, beyond the business reorganization, we have seen growth in revenue. As a result, Outside Japan ratio is 47%.
 Skipping over some pages. Please refer to Page 12. This is the balance sheet. Manufacturing, Service and Financial Services are separated in terms of the balance sheet. For -- the Manufacturing and Service, Others will be explained. Total assets was JPY 10,080.7 billion, and that is an increase of JPY 1.0128 trillion. So out of the extraordinary -- excluding extraordinary items, that was increased by JPY 483.7 billion. That is excluding M&A. But with the significant M&A generating cash as well as asset -- dealing with asset will have to be pursued. In terms of shareholders' equity, JPY 2,747.8 billion, increase by JPY 263.9 billion. And the shareholders' equity ratio is 27.3%, 0.1 point decrease. Debt/equity ratio was 0.4x, flat. For 2015, we are poised to make further improvements.
 Page 13 and cash flow. In the middle is the cash flow for Manufacturing, Services and Others. In terms of cash flows from operating activities, JPY 591.9 billion, which is improvement of JPY 90 billion year-on-year. And as a result, the free cash flow was JPY 132.7 billion. '13, '14, we have been generating the free cash flow to the tune of JPY 100 billion, but with the significant M&A, it will go into red ink, therefore, in 2015 we have to make further improvements in terms of free cash flow.
 In Page 14, the capital expenditures, depreciation and R&D expenditures. For -- the CapEx for the Manufacturing, Services and Others, JPY 374.3 billion, which is 96% year-over-year. We are compressing this in terms of depreciation, JPY 275 billion, 105% year-over-year. So even if we reduce CapEx, the depreciation is increasing. This is a point made when I referred to the waterfall chart. In 2007, Manufacturing, Service, we are making investment around JPY 460 billion; '09 and '10, we have been reducing to JPY 240 billion level in terms of CapEx. About now, we are back on the growth trajectory. And from 2011 onward, we are investing to the tune of JPY 360 billion to JPY 380 billion. So we have a increase from the lower level to -- by 60%. There was also depreciation of the acquired companies. That is the reason why depreciation is increasing, and it has reached the level of JPY 275 billion. This must be absorbed. And operating income for 2011 was a bottom. And since then, for 3 years in a row, we have been increasing operating profit 10% every year. So business structure reform will be continued, but we will be improving the profitability as well. And the investment is 300 -- R&D expenditure is JPY 335.5 billion and 95% year-on-year. For thermal power as well as Maxell, business reorganization is taking place. TV business, digital consumer electronics have been exited. Therefore, excluding that for -- compared to 2013, it's around 100%. Therefore, for 2015 toward 2018, the R&D expenditures will continue to increase.
 By segment, the Page 17 and 18 are the details. We have the result for 2014 in blue. If you refer to this for the red ink [ph], it's only in Power System where business structure reforms have been implemented. Now compared to the previous year, there has been negative for Power System as well as Construction Machinery because of China. And there have been the previous forecasts as well. And we have mentioned JPY 580 billion in terms of operating income. If I divide between the continuous and noncontinuous, the numbers are reflected in previous forecast. And if you look at -- the Information & Telecommunications System, Power System and Social Infrastructure and Construction Machinery and the automotive have deteriorated. Out of this, in terms of Power Systems, it has declined by 3 digits. It looks like a surprise. However, in the past, in terms of business that we have a shift, fadeout cost will be incurred as well, and that is the reason why we have this 3-digit negative number. But in terms of accounting procedure, it will be included in the -- it was included in the corporate items up until now. So this was expected from the beginning. So in reality, the impact that was in information as well as Construction Machinery, automotive and the Construction Machinery, JPY 2.7 billion underperformance was recorded. The weak yen of fourth quarter should be taken into consideration. It should be more, but these 3 had a significant impact.
 Now Smart Transformation Project, on Page 20, this shows what we have been doing so far. And this was also explained earlier. So I will skip this page.
 Page 22 and onward shows the outlook for fiscal year 2015. Page 22 shows the economic environment, business environment. We see that the oil and resource producing countries, economic growth slowdown and other risks are now making it more untransparent, unforeseeable. And so 2015's forecast, the exchange rate is JPY 115 to U.S. dollar and JPY 120 to the euro. Now on U.S. GAAP, JPY 9.9 trillion; operating income, JPY 660 billion, as President Higashihara said; the net income is JPY 330 billion. In 2012, operating profit was 4.7%, operating margin. And so 2015 medium-term plan in the 3 years, we have done a structural reform and growth strategy. So we will have 2 activities. So we think we can have a good prospect of improving 2% and achieve and aspire for more. We have one more year. So we will do good risk management. From fiscal year 2015 onward, Hitachi Group companies will cope with the globalization. So IFRS and internal control will be based on that standard. So IFRS is also attached on the far right-hand corner.
 Now segment. Page 27 and 28 shows the segment information, and you see U.S. GAAP in the center. Operating income, Page 28, it is an improvement of JPY 59.5 billion. Information & Telecommunication Systems and Social Infrastructure & Industrial Systems, which includes power and Electronic Systems & Equipment and High Functional Materials & Components and Automotive Systems and Financial Services, these have improved the sales and operating profit. Chinese market is sluggish, so escalator, elevator. And Smart Life & Ecofriendly Systems is impacted by air conditioning. These 3 segments have declined in revenue and profit. Overall, we are going to achieve increase in both revenue and profit. Now Social Infrastructure & Industrial System includes Power Systems.
 So Page 38 shows this change, Page 38, Numbers 6 and 7. Social infrastructure and Power Systems front engineering capability will be reinforced, and the manufacturing efficiency will be improved. So we will unify the operations, so the Power Systems is merged with Infrastructure Systems, to change its name to Power Infrastructure Systems. So the segment for external announcement is going to be this segment name.
 That is all. Thank you very much. We would now like to open the floor for question and answers. Those who have questions, please raise your hand. 
Unknown Analyst: I have 2 questions. Now regarding the Information & Telecommunication Systems, for March 2015, the telecommunication carriers have reduced investments about -- for 3 periods, it has underperformed the budget. In terms of profit margin, it has remained sluggish. That is my impression. Beyond the carriers' investment trend, where was the total? Now for March 2016, with the loss-making business, what kind of risks have been factored in? That's my first question. May I continue with the second question? 
Unknown Executive: Let's do this one by one. Regarding Information & Telecommunication System, for 3 period in a row, it has underperformed. It is a problem internally as well. Now the telecommunication carriers business plan was not fully understood. We did not have a rigorous evaluation, and that is having an impact. Now the telecommunication resources will be dismantled, and they will go to solutions. So in terms of hardware scale, it will be reduced to 60% of the conventional. Therefore, that is the actual status. And we will be focused on IoT and be focused on network solutions. That is how we will be reallocating people because we will have a surplus and we will shift them to other areas. If we cannot shift these people appropriately, measures may be required. For fiscal year 2015, in terms of fiscal [ph], measures have been incorporated. And in the first half, we must implement rigorously, and that is the reason why efforts are underway as we speak. We are making progress. 
Unknown Analyst: In terms of Information & Telecommunication, according to U.S. GAAP, the JPY 110 billion was the plan and it was JPY 116 billion. So it seems that JPY 24 billion increase in terms of profit and JPY 35 billion in terms of business structure reform. That means that JPY 60 billion increase in profit was expected according to my calculation. Is that correct? 
Unknown Executive: JPY 35 billion is not just for information and telecommunication. Information and telecommunication is only 1/3 of that. Infrastructure is also 1/3. Now for 2015 increase in profit, I would like to emphasize that in terms of system integration in 2014, had a loss in project in the social infrastructure area as well as public works. But now it is declining -- decreasing because this has already run its course. That was a negative figure in 2014, about -- it was about JPY 10 billion, but this is decreasing in a steadfast manner. And so these loss-making projects will run its course. In terms of finance as well as public sector, major projects will be posted in 2015, SI area. Project management will be very important. We have to make sure there is no significant loss here. In the past, where we had major projects, we had incurred major losses as well. So that was a mistake we made in the past, so we want to have a good understanding with the customers at the upfront and to make sure that we have consensus with the customers that we will not manufacture before we have a contract. So these are changes we have made in terms of business. Now mid-range in terms of storage should have been introduced in February of 2015, but it came in May. And big data is likely to increase. So fixed cost will decrease. These are the initiatives we will implement without fail. Internally, we have a higher target, but it seemed to be too high. That's the reason why we lowered it. 
Unknown Analyst: A question, a follow-up. The period end is JPY 116 billion and the current of minus JPY 140 billion. For the JPY 24 billion increment, what are the factors driving this? Let me confirm. It seems that JPY 4 billion in terms of project-related project management and other revenue increase, is that it? Please confirm. 
Unknown Executive: Regarding JPY 24 billion, the project is now JPY 4 billion. And information and telecommunication fixed cost business structure reform will mean that the profit will improve by JPY 10 billion. The remaining JPY 10 billion is coming from a revenue increase. 
Unknown Analyst: A second question, in terms of business structure reforms, JPY 50 billion expense, please give me the segment breakdown as well as the impact in terms of numbers. You're talking about the JPY 50 billion for 2015? 
Unknown Executive: JPY 35 billion is for the restructuring expense reduction and also impairment for fixed assets of JPY 15 billion. 2015 -- 2014, I forgot to mention JPY 68.4 billion in terms of business structural expenses included and the personnel related with JPY 25 billion, and the rest was fixed cost reduction and so forth. Now as I mentioned at the third quarter announcement, in 2014, there were some delays in terms of implementing measures for HR. So there will be some carryforward in 2015. And with the other expenses and costs, we want to front-load as much as possible in 2014 in the fourth quarter. So we have front-loaded some of these costs. Nonoperating expenses increased somewhat. Now let me talk about the impact. For 2014, the incremental measures in the fourth quarter had an impact of about JPY 5 billion to JPY 6 billion. That's 2014. So it has been front-loaded in 2014, but you will have the impact in 2015, which is to the tune of JPY 5 billion. 
Unknown Analyst: I have 3 questions. First, if possible, I would like you to answer. This fiscal year's profit, IFRS adjusted is JPY 680 billion and U.S. GAAP, JPY 660 billion, and the gap between the 2, if you could explain by items -- if you could explain the difference between those 2, please? 
Unknown Executive: IFRS operating profit, JPY 680 billion; and U.S. GAAP, JPY 660 billion. As had been explained, this is the pension accounting difference. That's the difference of the JPY 20 billion. That's all. 
Unknown Analyst: Any other large items, large additions or subtractions? 
Unknown Executive: No, not on the operating profit level. 
Unknown Analyst: JPY 50 billion structural reform cost and U.S. GAAP in your plan, it is a nonoperating expense. And in IFRS, it is adjusted operating cost. Is that correct? 
Unknown Executive: No, that is nonoperating. The concept of operating profit between Japan and Europe and overseas is different. This time, under the footnote, I mentioned that we will announce under the adjusted operating profit going forward. So they are nonoperating items, and IFRS have the gain from business sales. This will be operating profit. So Siemens is doing that. So if you continue selling the business, you can enjoy higher operating profit. That, we think, is not correct. And so we are taking that out. So excluding that, COGS and SG&A is subtracted from revenue, and so that, we think, is the simplest. So adjusted operating profit is the way we will go. So that's what we included in the footnote. 
Unknown Analyst: My third question, in this year's plan, EBIT figure and IFRS, JPY 620 billion; and U.S. GAAP, JPY 650 billion, looking at it, the biggest difference is the corporate items and eliminations. Anything you could explain here? 
Unknown Executive: In EBIT, nonoperating is included. So the interest is excluded. The operating profit IFRS and U.S. GAAP difference is the pension accounting, and that's JPY 20 billion on the operating income. Now this time, we are adding the structural reform cost. So the ones we could not do in 2014 is included in 2015. So we have the policy stocks. This is sold to finance the structural reform cost. So that is what we are going to do, and so gain on sales is included. We had some gain on sales in fiscal year 2014. In case of IFRS, the original -- this was the ones that we did not intend to sell -- gain on sales does not go to nonoperating. It goes to OCI, and so excluding that, JPY 20 billion and others and -- so that leads to minus JPY 30 billion. 
Unknown Analyst: On the U.S. GAAP, this gain on sales is included in EBIT, but in IFRS, it is not. So that is the difference. Understood. 
Unknown Executive: Next question, please. 
Unknown Analyst: I have 3 questions. First question is the forecast for this year. What is the plus and minuses in terms of waterfall analysis? Please elaborate for 2015. 
Unknown Executive: For 2015, business reorganization impact will remain because of air conditioning -- our business reorganization must be implemented. This is minus JPY 12 billion, not thermal power or Maxell. So this will be a negative number. The lower sales price as well as -- and cost reduction, Smart Transformation, is earmarked at JPY 100 billion. Now in terms of investment in business development, it will be JPY 37 billion, and labor cost and depreciation will increase, thinking about JPY 70 billion for the time being. In terms of improvement cost up in major projects, it's about JPY 14 billion. There is a advantage here. And M&A as well as business expansion impact, though, is earmarked for JPY 80 billion. There will be some other minor negatives, but overall, JPY 60 billion can be increased by JPY 60 billion. 
Unknown Analyst: What about for foreign exchange? 
Unknown Executive: We are assuming JPY 115 for dollar and JPY 120 for euro, and the plus and minus effect is 0. In terms of U.S. dollar and euro, the impact is offsetting each other, so on a net basis is 0. We have, obviously, as a position about JPY 40 billion to JPY 50 billion will increase in terms of sales because of foreign exchange. 
Unknown Analyst: Second question. For the period just ended there have been some changes in classification. Therefore, in terms of project loss, what was within the operating profit range and Power System impact? And a further detailed explanation is requested. 
Unknown Executive: Project loss in terms of measures to be implemented, that is information as well as infrastructure. There is no change for these 2 areas. For Europe, in terms of power generation projects, there was cost increase -- was JPY 23 billion. It is included in the operating income negative number to the tune of JPY 23 billion, which will be excluded. And nonoperating income is -- JPY 52.7 billion includes [indiscernible] tax. So the non-continuing basis is JPY 52.7 billion. This is only for the power generation, and so information is not impacted. 
Unknown Analyst: Information and telecommunication, JPY 4 billion, was factored in from the beginning? 
Unknown Executive: Yes. 
Unknown Analyst: In terms of Power System, the maintenance expenses has been posted this year. Will it go away? 
Unknown Executive: The amount is around JPY 10 billion. So this is a one-off posting for the future as well. 
Unknown Analyst: My last question, according to U.S. GAAP, in terms corporate items and elimination, minus JPY 30 billion is included. 1 year ago, I remember it was JPY 70 billion, before that it was JPY 30 billion. And when the period just ended, the maintenance expenses was also included -- was reported. So how can we interpret JPY 30 billion for this year? 
Unknown Executive: Fiscal 2014 is minus JPY 4 billion, and therefore, to -- it is unlikely that JPY 31 billion will be achieved all of a sudden. So I would say around JPY 20 billion is more appropriate. In terms of corporate items and eliminations for U.S. GAAP, similar for IFRS, means that the JPY 20 billion should -- will incorporate -- will also include the market risk -- the business risk as well. Now we have changed the approach somewhat at this time. In terms of management approach, the internal budget, internal group budget and the disclosed number are aligned. That has been what we have been doing. But in terms of each of the segments, we have been considering at the headquarters in terms of business risk. But now this business risk has been allocated to the -- each of the segments. Therefore, if we compare with the fiscal year '14 original outlook, market risk, JPY 20 billion, and for each segment allocated, a total of JPY 30 billion. So the total is JPY 50 billion. It's the risk that we are considering at the moment. That is the basis of the segment disclosure today. Any other questions? 
Unknown Analyst: The first question is on Page 31, social and industrial, the U.K. railway, strong business. And this will push up the performance of this year. So if you could elaborate on this. And now Page 22, you gave us the business of environment and risks in detail, but if you could elaborate what you see as risk, once again, please? 
Unknown Executive: For railway business, Ansaldo is not closed yet. So once it is closed, we will be able to tell you more. Now there are very few negative elements. There are no ups and downs on -- surprises in the project, and the overseas deals is now progressing steadily. Now it's only for U.K., but 8,300 -- we have come to 8,300. So we are looking forward. We would like to explain this on June 11. Global CEO, Mr. Alistair Dormer, will come and explain on June 11. So I would like him to explain. Now the business of environment risks, foreign exchange fluctuates and interest rate fluctuates suddenly, and emerging markets' economic situation deteriorates. So my impression is that the business environment in 2015 will not be rosy. It will not. Europe, as you know, has Greek issue. And ECB, its purchase of the bond, is now going to be done. So the central banks are now having debt throughout the world. So that is the basic structure. In long term, in U.S., it's 2%; and in Japan, it's 0.4%; and in Europe, very slow, 0.1%. So this is not the correct situation. Someone said yesterday that there's long-term interest rate and the dividend yield of stocks. In Japan, it's 4x. In the U.S., it's 1x. So when interest rate goes up, then the share price becomes high, becomes expensive. So there will be some regions that will start exiting going forward, then the emerging markets money may stop and the share price may go up. So we have to be careful. The oil price in January this year went down, down to $45 per barrel. Now it's about $60. Europe, when oil price went down to $45 of the consumption, trended upward. But the oil countries' order to us declined or were postponed from the oil-producing countries. Now the oil price is up to $60. And so the oil producers will be stronger, but the oil purchasers will be weaker. So which one will come first? I don't know. And therefore, we need to keep a close look, careful look. We don't know what will happen in the world. So we cannot rest assured. We want to sleep without any concern. And I bought a new pillow the other day, but I could not rest well last night. So that's where we are. I do not know what will happen in the future. I think we will have a clear view by summer. Next question, please? 
Unknown Analyst: For March 2016, in terms of macro economy, the Chinese economy is to slow down. That was you mentioned in your presentation. For Construction Machinery, I'm sure that the impact is going to be strong, but what about for other businesses? What kind of concerns do you have with respect to this matter? 
Unknown Executive: The most direct impact will be in terms of Construction Machinery. China is very interesting because the power shovels are purchased by companies in Japan, but the hydraulic shovels are purchased by individuals and they are receiving outsourcing work from companies in China. So the financial tightening as well as excess capacity will have an impact on their sales directly. Therefore, in China, there is direct impact in terms of Construction Machinery. Automotive System can also be impacted. Now there -- it was mentioned in newspaper, about 25 million excess capacity in terms of cars produced. I don't know how this is close to reality, but sales could become sluggish. Our main business in China -- one of the main business is elevators and escalators, but we do not feel that there is a significant decline. Or according to the current plan, it -- we believe that it is on a growth trajectory according to plan. With respect to ATM, last year, we had a special demand, and that will fall away this fiscal year. So this could be a negative impact, but this is unrelated to the Chinese economy. So it's just not related to a slowing down of the economy either. In the case of China a new normal is talked about; and within the country adding value in terms of industry is the new transformation they are pursuing. So in terms of environment as well as high efficiency manufacturing facilities will be important for our business. This is where we can make a contribution. That is the reason why we are keen to strengthen the partnership with China. Any other questions? 
Unknown Analyst: I have 2 questions. First, you mentioned earlier that this year's buffer is about JPY 30 billion for each segment and JPY 20 billion for the entire company. So the ones allocated to each segment, could you give me a rough image of the individual segment numbers? And another question but I don't understand well, in the first half, on the corporate level, 9% down in operating income, according to U.S. GAAP; and full year, 10% up in operating income. So second half is strong, it seemed. And I don't understand the overall picture, but -- so the first half will have a lower operating income. President Higashihara said that he want to focus on reinforcing the structure, but why down if it's down in the first half? Could you explain the factors behind this decline? 
Unknown Executive: First, JPY 30 billion -- the image of JPY 30 billion, roughly speaking, Information & Telecommunications and Social Infrastructure & Industrial Systems is JPY 20 billion and JPY 10 billion, respectively. So that is the biggest portion. 
Unknown Analyst: So no other allocation to other segments? 
Unknown Executive: Yes. Now first half and second half, what is difficult is, as announced the other day, Hitachi Construction Machinery. China, in the second half of fiscal year 2014, the new -- Chinese New Year's demand did not go up, and this impact continued into the first half of 2015, we think. So for Construction Machinery, operating income is down on a year-on-year basis. Now Hitachi High-Technologies 2014 first half was high, was strong. So that's the impact. And another factor is the Smart Life & Ecofriendly System. First half of 2014 had air conditioning business and also profit from overseas, but this will be switched to JV, joint venture. So first quarter is included, but second quarter and onward, this will be gone. So that is the basis assumption we have. That is how we arrange the numbers, and so that is the impact on Smart Life & Ecofriendly Systems. And the last big portion is infrastructure, social infrastructure. The overseas projects, the price negotiation with customers is still underway. And unlike the Information & Telecommunication System, this has a long lead time. In information and telecommunication, it does not last for 2 or 3 years. But for infrastructure-type deals, it -- the lead time is long. And so the ones we are taking measures are fine, but the ones that were -- the orders we're taking before, we're having difficulty negotiating the price with the customers. And this impact may emerge in the first half. So that is incorporated. So that is why we are not seeing a strong business in the social infrastructure. 
Unknown Analyst: In the second half, Social Infrastructure & Industrial System will go up. So now I understand the first half, but this big improvement in the second half, this does not sit well from the business environment. So how do you explain this increase in the second half? 
Unknown Executive: In the Social Infrastructure & Industrial Systems, infrastructure will work hard, but it may not go as much. Elevator-related business and the transportation-related business are going to improve, we think. And so that is the increase that we have incorporated in Social Infrastructure & Industrial Systems. And power is now included in this segment. Power was bad, but we did some structural reform. And so we will see some benefit of the restructuring. So that's the second half of 2015. As Nakamura-san just mentioned, the construction material and High-Technologies and Hitachi Appliance will exit from second quarter and infrastructure related, so 4 companies, its total JPY 30 billion impact on a year-on-year basis. Now U.S. GAAP is minus JPY 20 billion. So 4 company total is minus JPY 30 billion. And other companies was conservative in the first half. And as mentioned earlier, in structural reform, JPY 50 billion structural reform, this will be in the first half. And this will also impact the operating income. And so the benefit of the structural reform will show in the second half. 
Unknown Analyst: So JPY 50 billion in the first half? 
Unknown Executive: Yes, basically, yes. Any other questions? 
Unknown Analyst: I have 2 questions. In terms of IT investment, domestically, 2014, what is -- please review. In terms of information and telecommunication, you said that the Financial Services as well as public sector was very strong. Please elaborate. And 2015, how is it going to emerge for mega banks and finance as well as my number [ph] system. Please elaborate. 
Unknown Executive: In terms of Financial Services as well as public sector, for 2014, we believe it was very strong. And major projects are slated, and that is the reason why corporate sector and the finance services is going to be very important. In terms of the public sector, my number [ph] system-related business is very prevalent. For the Financial Services, mega bank, insurance companies, IT investment is expected, not so much in terms of efficiency of operations. But in order to improve the top line, strategically, it is a proactive IT investment that is contemplated by Financial Services. 
Unknown Analyst: Second question. For the first half of 2015, JPY 50 billion business structure expenses, you said that JPY 10 billion is for Information & Telecommunication Systems. In terms of IT platform business, how much compression and how many people are going to move? And you said that you are going to reallocate the resources to IoT. Are you going to be setting up a new organization? How is this going to be achieved? 
Unknown Executive: Yes, we would like to have a dedicated organization for IoT. We have already made the preparations. in terms of manpower measures, it will be very significant in terms of scale. 
Unknown Analyst: How much are you going to reduce? 
Unknown Executive: 60%. Reducing by 60% will mean that we cannot have a viable business. I have been told not to give out numbers of people, but I can say that it is very significant. Regarding the IoT organization, it is already set up. Any other questions? 
Unknown Analyst: I have 2 questions. First is foreign exchange. You mentioned earlier that the dollar and euro are netting off each other, but what is the currency sensitivity? And euro-dollar assumption is 1.04. We think this is too conservative, you mentioned earlier. So you're thinking behind the assumption of the foreign exchange, please. And second question, ROE, this indicator, any points you could mention on ROE? 
Unknown Executive: So first, the foreign exchange sensitivity. Fiscal '15, JPY 44 billion for dollar and JPY 1 billion for euro on the operating profit. So JPY 5 billion is the sensitivity for each JPY 1 fluctuation. Dollar-euro is 1.04. Compared to other companies, yes, we are conservative. But for euro, usually, it is about 1.1, but the risk is still volatile. So we discussed whether to do JPY 120 or JPY 125, but we decided on JPY 120 to EUR 1. So that's the assumption this time. At one point, it went down to JPY 123. Now it's come back to JPY 135. But is this sustainable? For euro, it's paper currency. It's not yet a soft currency. But this issue with Greece, will this really be resolved? We don't know. If something happens, if not default, then Spain and Portugal may also be impacted and it may continue. Can we really have 1.1 for the full year? But financial institutions, briefing and conferences -- or when I ask the analysts, they say the level is 0.85 in the future, and I don't think 0.85 for -- will be for this year. But the unemployment rate in Europe is over 10%; in young -- among the young people, 20%. And in Greece, in Spain, unemployment is 50%. This cannot be sustainable. So we need to keep our close eyes on the situation. At one point, it did come to close to 1.04. So that's why we decided to start from there. Internally, yes, it's as you said. For ROE, we think it is an important indicator. It's not because the government is saying so. As an incorporated stock -- joint stock company, important indicators are ROE and how to -- the payout ratio and the investment policy, the overall policy on how to manage the money. So in 2015 medium-term plan, we discussed -- we did not discuss ROE sufficiently inside the company. We do talk about it, but this 2015 medium-term plan is not targeted at ROE. It is what follows 2012 and -- which goes on to 2018. It's just the middle point, and so we have not discussed ROE sufficiently, but it is an important indicator. It has to be over 10%, we think. And payout ratio, how to relate this to payout ratio, this is what we will discuss in the next medium-term plan. In the previous announced forecast, the ROE will be around 11%. So in -- so this 2015, which is the starting point for the 2018 plan, this is what we would like to have. With this, we would like to close this meeting. Thank you very much for your attendance.